Operator: Good day and welcome to the First Quarter 2011 Northrop Grumman Earnings Teleconference. [Operator Instructions] I'll now turn the presentation over to your host, Vice President of Investor Relations, Mr. Paul Gregory. Sir, you may proceed.
Paul Gregory: Great, thank you, Candace. Good morning, and welcome to Northrop Grumman's First Quarter 2011 Conference Call. We've provided supplemental information in the form of a PowerPoint presentation that you can access at www.northropgrumman.com. Before we start, please understand that matters discussed on today's call constitute forward-looking statements pursuant to Safe Harbor provisions of federal securities laws. Forward-looking statements involve risks and uncertainties which are detailed in today's press release and our SEC filings, and may cause actual company results to differ materially. During today's call, we'll discuss first quarter 2011 results and our 2011 guidance for continuing operations. Our first quarter results and our 2011 guidance reflect the spin-off of our Shipbuilding business, Huntington Ingalls Industries on March 31. Shipbuilding results for the first quarter are reported as discontinued operations in the press release and this quarter's 10-Q filing. Our results for discontinued operations may not reflect Huntington Ingalls' results of operations or financial condition as an independent publicly owned company. On the call today are our CEO and President, Wes Bush; and our Chief Financial Officer, Jim Palmer. At this point, please go to Slide 3, and I'd like to turn the call over to Wes.
Wesley Bush: Thanks, Paul. So good morning, everyone. Thanks for joining us. On today's call, we'll discuss first quarter highlights and our outlook for the rest of the year. First quarter financial results were strong, and we're off to a solid start for the year. We completed the spin-off of Huntington Ingalls Industries to Northrop Grumman's shareholders on March 31. Our shareholders received 1 share of HII for every 6 years in Northrop Grumman. Along with providing greater investor choice, we believe that the separation of the businesses supports value creation for the shareholders, customers and employees of both companies. Today, we also announced that we are raising our dividend and increasing our outstanding share repurchase authorization to $4 billion, which includes committing the $1.4 billion spin-off contribution to share repurchases. This approach means that the full value of the Shipbuilding business will be transferred to our shareholders. I want to acknowledge the hard work of everyone involved in successfully executing the spin-off. I also want to thank Mike Petters, the CEO of Huntington Ingalls, and his team for their contributions to Northrop Grumman. And finally, I'd like to thank the Navy for their constructive engagement throughout the spin-off process. Northrop Grumman is now much more sharply focused on our core markets. Integrated C4ISR, Cybersecurity, Unmanned Systems and Logistics. Our 4 sectors are well-positioned and have tremendous opportunities for collaboration synergy. As a management team, we are looking forward to maximizing our opportunities in these markets. While we believe the company's portfolio is well aligned with our customers' priorities, we always look for opportunities to improve performance and alignment, including continued portfolio shaping. As a management team, we are also focused on improving our execution and cost competitiveness, while maintaining flexibility in a rapidly changing environment. Our priority is to position Northrop Grumman for success in an increasingly competitive environment. Turning to financial highlights for the quarter on Slide 4. Earnings per share from continuing operations rose 25% to $1.67. On a consolidated basis, our segment operating margin rate expanded by 50 basis points. Our leadership team continues to focus on sustaining and building on the substantial performance improvement we achieved in 2010. All 4 sectors delivered higher operating income, and each of the sectors is building a track record of consistent execution. Operating income increased 19%, reflecting higher pension income, stronger segment operating income and lower corporate expenses. Our year-over-year sales variance was primarily driven by the decision to reduce our participation in the Nevada National Security Site joint venture. Excluding this change, first quarter sales would've been relatively comparable to last year. So our top line has been fairly resilient, despite operating under the continuing resolutions for the last 6 months. Our experience is that the series of CRs, held up new contracts and also negatively influenced customer willingness to spend on some existing contracts and programs in order to preserve funds should the CR have continued. Sales for Aerospace Systems were slightly higher in the quarter due to increased volume from manned aircraft, Unmanned Systems and restricted programs, which more than offset declines in civil space programs. Aerospace Systems ended the quarter with a $20 billion backlog and continues to have several large pending awards, including LRIP 4 [low-rate initial production Lot 4] for the F-35 and the latest multiyear for the F/A-18. Sales for Electronic Systems and Information Systems, our shorter cycle businesses, were more impacted by acquisition delays caused by domestic and international budget uncertainties. And at Technical Services, the sales decline was solely the result of our strategic decision to reduce our participation in the Nevada National Security Site joint venture. That decision also reduced our backlog by $1.7 billion. At the end of the quarter, total backlog, adjusted for the HII spin-off, was $43.7 billion. New business awards for the quarter totaled $5.3 billion, and at the end of the quarter, total backlog represented about 1.6x sales. While budget uncertainty is a reality, and reductions to certain programs are likely inevitable, we believe we will continue to see strong demand in our core integrated C4ISR [command, control, communications and computers, and intelligence, reconnaissance and surveillance systems], Unmanned Systems, Cybersecurity and Logistics markets. Given the challenges of a regular warfare and other emerging threats, investments and persistence awareness through integrated C4ISR systems are essential to global security. We have a strong, broad foundation of capabilities and mission expertise in C4ISR, and we continue to work with our customers to expand our C4ISR capabilities. In particular, we're developing advanced multifunction sensors and network capabilities with open system architectures to meet emerging customer information needs. We're also developing new concepts for more agile and persistent ISR [intelligence, surveillance, and reconnaissance] capabilities, which integrate airborne and space platforms using a balanced mix of manned and unmanned systems that can address a broad range of security challenges. Examples in this area are our BACN [Battlefield Airborne Communications Node] system, LEMV [Long Endurance Multi-Intelligence Vehicle] and the migration of our flexible unmanned architecture model to additional platforms, such as the Bell 407 helicopter. We also believe that investment in Unmanned Systems will be a priority, both domestically and internationally. As Global Hawk continues to demonstrate its robust C4ISR capabilities across a multitude of military and nonmilitary global missions, ranging from monitoring developments in the Middle East to gathering information on the aftermath of the earthquake in Japan, we are seeing increased international interest in this versatile platform. Development of BAMS [Broad Area Maritime Surveillance], its maritime derivative, is proceeding well, and we would expect this platform to demonstrate a similar level of mission versatility. And we continue to extend our technological leadership and broaden the capabilities and missions of our Unmanned Systems, with the development of platforms ranging from the fixed wing UCAS-D [Unmanned Combat Air System Demonstration] to rotary-wing platforms like Fire Scout and Fire-X. We continue to invest in and capture Cybersecurity work, and we are currently providing advanced cybersecurity technology to the defense and intelligence communities. Our acquisition of Essex several years ago, brought unique capabilities and customer intimacy that successfully supported our growth in this area. We expect the demand for advanced Cybersecurity solutions to continue to expand. This growth will be driven by investment in unique Cybersecurity opportunities, as well as the broader recognition of the need to embed Cybersecurity in our critical systems. We believe we are also well-positioned in Logistics, where we expect continued growth in the maintenance, repair and overhaul or MRO market, as pressure on the investment accounts drives the need for service life extension of existing platforms. We are a major player in this area, currently providing MRO services for the B-2, Joint STARS, KC-10, U.K. AWACS, A-10 and the C-20. And this month, our Lake Charles Maintenance and Modification Center was selected the 2011 MRO Facility of the Year in the military MRO category by Aviation Week and Overhaul & Maintenance magazines. The Lake Charles Maintenance and Modification Center provides maintenance, repair and overhaul support to platforms such as Joint STARS and KC-10. Our portfolio is also well-aligned with longer-term opportunities, including the long-range strike initiative and emerging directed energy and non-kinetic products and systems. We have a number of activities underway to position Northrop to compete successfully for the long-range strike initiative. And our solid-state directed energy laser demonstrated its capability in a Navy exercise, in which a small moving vessel was successfully targeted and disabled. We believe that our capabilities and technologies are vital to global and national security, and that the need for our products and services will continue. Our actions on the dividend and share repurchase authorization demonstrate the confidence we have on our portfolio, our ability to execute and our outlook for continued strong cash generation. After the spin-off with the Shipbuilding business, which represented approximately 20% of our annual sales, we are not only maintaining our quarterly dividend but increasing it by more than 6% to $0.50 per share or $2 per share on an annualized basis. Looking ahead, based on this quarter's performance, we now expect earnings per share from continuing operations to range between $6.50 and $6.70. In closing, I would reiterate that we continue to position the company for an increasingly competitive and challenging environment. Deficit reduction is becoming a higher priority for our national leadership, as deficit and debt levels are widely expected to be unsustainable. It's likely that there will be a significant amount of debate in the coming months regarding deficit reduction and defense spending. Our challenge is to continue to anticipate the needs of our customers and aggressively address our cost structure, operational execution and productivity. As I've said before, ours is not a top line story. We believe that we can continue to create value for our shareholders even in an environment of constrained top line growth by focusing on our key priorities: building on our performance improvements, optimizing our portfolio and effectively deploying our cash. We're off to a very good start to the year with our first quarter results. So now I'll turn the call over to Jim, for a more detailed discussion of results and guidance. Jim?
James Palmer: Thanks, Wes, and good morning, ladies and gentlemen. My comments will begin on Slide 5, where I'll provide a little bit more color on our first quarter results, which as Wes said, is a great start to the year. Highlights for the quarter were the higher segment operating income and a 10.7% segment operating margin rate, improved total operating income and margin rate due to higher pension income and lower corporate unallocated expense. A 25% in earnings per share driven by the higher segment operating income and pension income, with lower corporate unallocated and interest expense. Our higher tax rate for the quarter was offset by the impact of this quarter's lower share count. Moving to the segments. Aerospace Systems had a solid quarter, with a 1% sales growth and a 2% increase in operating income. Margin rate for the quarter was unchanged at 11% and in line with our guidance for the year. Higher sales for the quarter reflected higher volumes for manned programs, including an additional F-18 delivery, as well as higher volumes for unmanned systems and restricted programs. The increase in operating income is consistent with the higher volume for the quarter. For the year, we continue to expect relatively stable Aerospace revenue, characterized by volume increases for manned, unmanned and restricted programs, which will be offset by lower volume for civil space programs. In particular, as work on MPOS transitions to the new Defense Weather Satellite System, we expect a decline in civil space sales. For example, in the first quarter, volume for MPOS declined by about $80 million on a year-over-year basis. In Electronics, sales declined by 4% for the quarter, and as we mentioned in last quarter's call, we expected ES [Electronic Systems] to have a slower start in the first half of the year due to lower ID/IQ deliveries for LAIRCM [Large Aircraft Infrared Countermeasures] and the vehicle intercommunication systems or VIS, as well as some delays that we experienced last year in international programs. Despite the lower sales volume, operating income increased 5% and margin rate expanded 110 basis points to 13.1%. The strength in operating income reflects improved performance for Land & Self Protection Systems and the Postal Automation Program. For the year, we expect ES revenues to be relatively stable, but we may experience some softness in -- if delays in international awards and acquisition delays continue. We continue to expect an operating margin rate of approximately 13% in this business. Information Systems also generated strong operating income from the quarter, despite slightly lower sales. Sales volume reflects a restricted programs transition from development to maintenance and lower volume for the counter-narcoterrorism ID/IQ program, as well as an impact from the continuing resolution. Operating income increased 6% for the quarter and margin rate expanded 70 basis points to 9.6%. Improved program performance more than offset the decline in volume. For the year, we continue expect low single-digit revenue growth, with a margin rate of approximately 9% in this business. Similar to Electronic Systems, we could experience some softness relative to our sales guidance, depending on the timing of new awards and the continued budget uncertainty. Moving on to Technical Services. First quarter sales declined by 10%, with the single biggest factor contributing to that decline being our reduced participation in the Nevada National Security Site joint venture. As I think you know, effective January 1, we no longer consolidate revenue for this joint venture, which had sales of $136 million in last year's first quarter. Higher sales for the KC-10 program, which began in earnest last February, partially offset the impact of the joint venture. TS [Technical Services] operating income increased 10% and margin rate increased 140 basis points. Higher operating income reflects improved program performance, with the margin rate expansion for the quarter primarily due to the change in the joint venture revenue recognition. We continue to expect sales of about $2.5 billion for TS, which reflects that reduced participation in the joint venture and contemplates the phaseout of some business lines that are not meeting our return expectations. And we continue to expect a margin rate in TS to improve to approximately 8%. On a consolidated basis, we expect a total operating margin rate of approximately 11% for the year and we continue to expect a net pension adjustment of about $355 million or so for the year. So the major drivers of this quarter's earnings per share growth were the improved pension cost, higher segment operating income, lower corporate unallocated expenses and lower interest expense, were also important contributors to earnings per share growth, with a lower share count offset by a higher effective tax rate. Turning to cash. As expected, cash from operations and free cash flow were seasonably low, but much better than last year's first quarter results. Cash from continuing operations was $112 million and free cash flow, which was an outflow of $11 million after capital expenditures and related outsourcing contract and software cost. Both cash from operations and free cash flow were stronger this year, with the improvement principally driven by the more positive working capital trends. And as we've said, during last quarter call, we expect cash to again be heavily weighted towards the second half of this year. At the end of the quarter, our cash balance was just over $4 billion, reflecting the $1.4 billion contribution from HII and our strong cash generation at the end of 2010. Out of abundance of caution related to the disclosure process surrounding the spin-off, as well as the likely reduction in our stock price after the spin-off, we took a pause in our share repurchase program in the first quarter. But with the increase in our authorization, we will resume our share repurchases. So looking ahead, I expect that we will have a significant drawdown of cash in the coming months. Along with the share repurchases, we have 2 tax payments that we need to make in the second half -- or second quarter, rather, that total approximately $500 million. And as I said before, we anticipate making a discretionary pension contribution in this quarter, second quarter, that will total approximately another $500 million. So in conclusion, good first quarter. Those results demonstrate positive trend in operations, improved pension expense and the optimization of our portfolio. We remain focused on generating shareholder value through performance improvements, optimization of our portfolio and effective cash deployment. And Paul, with that, I think we're ready to turn it over for some questions.
Paul Gregory: Great, thank you, Jim. Candace, I think we're ready to go to Q&A.
Operator: [Operator Instructions] Our first question will come from the line of Robert Spingarn of Crédit Suisse.
Robert Spingarn - Crédit Suisse AG: High-level question, Wes, you've been probably one of the earliest to recognize the pressure in DC and fairly responsive to that, I would say, over the last year or so. How do you see your backlog evolving in the various segments as we go forward here? I know you've been clear this is not a top line story, but if you could just give us a little sense for how the 4 segments move up and down over the course of the next few quarters? And then a question for Jim on the cadence of the share repurchase.
Wesley Bush: Sure. All right, let me start with the question on the backlog. I think it's important to decompose it, and I also think as we have completed the spin out of HII, it's a good opportunity to kind of stand back and reflect on the portfolio and how backlog looks for different portfolio elements. Historically, with Shipbuilding inside of Northrop Grumman, we had 2 substantial sectors that were platform-driven and whose backlog would come in the big lumps that typically go with the platforms. And today, we are 1 of our 4 sectors that is platform-driven and that's AS [Aerospace Systems]. And if you look at our report on backlog there, you'll see a backlog that is characteristic of the large platform businesses that's running close to 2x annual sales. Our other businesses are typically shorter cycle businesses in terms of the duration of their contracts. And they also are businesses that tend to have a higher volume of ID/IQ business that doesn't reflect into the backlog the same way that the other contracts do. And so you'll see lower multiples of annual sales in the backlogs for those businesses. Together, as I indicated in my remarks, about 1.6x is kind of where we're running today. Your question was more forward-looking though, and my view on that really goes to where we see some of these pressures going that may have implications on things like production rates on platform businesses, I think that will put some pressure there. We feel a little bit more positive about that because of the heavier reliance that we have on Unmanned Systems, which we think are going to get perhaps a little bit more of the relative share of investment. So we like that positioning on unmanned. But I would expect a little bit more volatility over time. And the platform business is not just ours, but across our industry, given the scrutiny that's going to be applied, I think, more broadly to how much the nation can afford in terms of production rates. The other businesses, I think, are going to tend to trend to about the levels of backlog multiples that we're seeing. Now there's going to be overall pressure on sort of a total top line, and so you can argue about where the top line goes. But in terms of backlog to sales ratios, the level of multiples, I think, is generally indicative of the way the customer executes its business, whether we're in a more robust top line environment or reduced top line environment. So as a multiple of sales, I think that model is probably fairly consistent. So I hope that answered your question, Robert. And then, Jim, you were going to answer...
James Palmer: Yes. Bob, on your question on cadence on share repurchase, a couple of thoughts here. You'll recall that at the beginning of the year, I said that our guidance for the year anticipated a modest reduction or modest share repurchase program for the year. It clearly contemplated the pause that we had in the first quarter. Frankly, we didn't know for sure when the Shipbuilding spin would be completed. As we said in our guidance for the year, we anticipated it would be completed during the year, but didn't really peg a time for when that would be completed. We do, as we said in the press release announcing earnings and the share authorization increase, we're in the market from time to time. We normally don't give a time frame for when we're going to complete that $4 billion authorization that we have. But probably the best way to try to address your question is to address it from the perspective of the guidance for the year. And as I'd look at guidance for the year, I contemplate a range of share repurchase alternatives. A range of operating improvements as well. And I think it's fair to say that the guidance at this point contemplates about a 3.5% reduction in the average shares outstanding for the year.
Operator: Our next question will come from the line of Doug Harned of Sanford Bernstein.
Douglas Harned - Sanford C. Bernstein & Co., Inc.: On IS, on basically, Information Systems, you had very good margins for the quarter. Could you talk about where that unit's headed in terms of margin longer term? And I know it's been great that we haven't talked a lot recently about the state of Virginia and the San Diego County, and maybe you could give an update on those or do we have those issues really behind us now?
James Palmer: Let me talk about margins, and I think Wes will add a couple of comments on the other 2 programs as well. For quite a while now, Rob -- or Doug, we've talked about 9% margins in this business, as where we thought the business ought to perform. Clearly, we'd like to push it above that. But 9% is our guidance for the year. We were at 8.9% as I recall for last year, 9.6% this quarter. This quarter did have some increased deliveries on some programs that have some hardware associated with improved margins with them. You expect that to kind of tail off as we go through the year here. So that's why we're looking at about a 9% for the year. Clearly, all of us were incentivized to do better than that. And I kind of think the 9% or so, a little bit on the upside is where this business ought to be and where we're driving it to be.
Wesley Bush: All right, and Doug, you asked about the county of San Diego and VITA [Virginia Information Technologies Agency], I would say, both have come long way in terms of stabilization. County of San Diego operating quite well. With respect to VITA, we see continued steady improvement on the performance there. Our first step on VITA has been transforming the environment across a very widely disparate set of IT systems, transforming that into a new state-of-the-art environment. And that transformation process on VITA is nearing completion. The agencies that we have transformed are seeing good, steady performance and performance improvements. We are still occasionally experiencing some challenges in the few remaining agencies that are continuing to operate under their older legacy, if you will, environments. And so from time to time, we see those flare up with issues, but we believe those issues will be mitigated as we complete the transformation process. We are working very, very closely with the Commonwealth [Commonwealth of Virginia] on that remaining transformation schedule. And we see that as on the right track. The program, I think as you know, continues to operate at a loss. That is not an attractive business proposition for us at all, but we are committed to be operating effectively with the Commonwealth to meet our commitments and make sure this thing operates and is transferred very successfully. And I think we're making really good progress on that.
Operator: Our next question will come from the line of Howard Rubel of Jefferies.
Howard Rubel - Jefferies & Company, Inc.: Jim, these are all for you, sorry, Wes. And it's all sort of related some of the financial metrics that you talked about. First, could you -- the dividend increase sort of points to a 30% payout ratio and maybe you could, so there's sort of 3 parts to this. One, is could you sort of address what you're thinking about your payout ratio? What you're thinking about rolling up [ph] a return on invested capital going forward, because that's sort of part of our where you're going to go if you're not going to grow a lot, you got to maximize the return on equity. And then third, if I did the math right, 3.5% shrink to the shares is only like $600 million. And I thought you said, you are committed to the $1.4 billion for the purchase of the stocks. So is there a loose end there?
James Palmer: So a couple of thoughts here. On the 3.5%, that's from last year's weighted average shares. We lost -- obviously, issued shares -- share in the first quarter for our annual incentive compensation program. So new options, new performance shares. So that's an upper to last year's weighted average shares that you probably haven't factored into that analysis or calculation. And again, realize we're not going to be able to start our share repurchases until this information is public for a number of days. And so when you look at weighted average shares, it's going to take more than your dollar amount, the $600 million you talked about, to affect that weighted average shares for the year. In terms of payout ratios and yields, we actually look at both payout ratios and yield, pay more attention to payout ratios. We look at payout ratios both on a GAAP basis, as well as a pension-adjusted basis and in relationships to our peers. And yes, we target around let's call it a 1/3 or 30%-type of payout ratio. And as you know, RONA [return on net assets] is one of our objectives, long-term performance measures that our team has incentivized on. So we've worked to improve RONA. Holding cash is not very effective, so yes, there is some incentive to go deal with the cash balance as it relates to RONA. Did I get all your questions, Howard?
Howard Rubel - Jefferies & Company, Inc.: Yes, more or less.
Wesley Bush: There's just one other perspective, there's the math that goes with the share repurchase. I would just say, it's also instructive to look at our history. When we get a share repurchase authorization, we execute to make sure we get things done and on a meaningful timeline. So I think we have a pretty good history there as well.
Operator: Our next question will come from the line of Myles Walton of Deutsche Bank.
Myles Walton - Deutsche Bank AG: Wes, you talked about ISR, Cyber, Unmanned and Logistics as being kind of the marquee headline businesses you want to be in. How much of your portfolio today directly fits into those buckets? And then in the context of portfolio shaping, is it that you want to wind down towards centering on those buckets and anything that's not in them is in play? Or is this more the direction of where you want to go out and acquire?
Wesley Bush: Yes, Myles, I think I would characterize those areas as the predominance of focus. They are 4, we're a company that this year is $27.5 billion in annual revenue that we're driving towards, so certainly not everything, either does nor should, fit into 4 specific categories. We highlight those though to make sure that there's some clarity around the way we think about alignment with the customers' emerging needs. So they are not, if you will, criteria that we're using to determine, perhaps in or out on the portfolio. They are more intended to serve as a way of framing the way we think about investing. The way we think about aligning capabilities internally, where we see substantial opportunities for our 4 businesses to work together to create synergy. They do represent a large fraction of our portfolio. We've not broken that out publicly in the past, I'm going to be a little bit careful about doing that. But it is a substantial fraction of our sales. You asked a little bit about M&A as well. From my perspective, we have what we need in these areas. We're not looking at a big gap from a capability perspective. We do look in the marketplace to see what emerging capabilities might augment that over time, but given the strength of the portfolio we have in these areas, I don't feel that we need to take any dramatic actions that will be a departure from the disciplined approach that we've taken in our investment philosophy. So it's not a laying of the groundwork, if you will, for some substantial M&A program here. It is more intended to provide a very solid framework for how we're thinking about the move forward on the company, the alignment with where we see the customer going and how we're shaping our priorities for investment.
Myles Walton - Deutsche Bank AG: That's really helpful. One quick follow-up to that, you mentioned portfolio shaping, I'm curious if you can size what kind of level of portfolio shaping you need to stay being on the table in 12 to 24 months.
Wesley Bush: Yes, it is -- it will be a product of the continued activity that we go through. We have a pretty robust program internally to decompose our portfolio, not necessarily just along the lines of our organizational structure, but along the lines of what our customer is doing, along the lines of the market trends that we see. We also look at financially in terms of performance metrics. So we decompose it routinely to try and look forward into where we see the market going. And in those areas where we see departures from our ability to generate value, either through just the straightforward operations of that part of the business or through synergy, we want the different parts of the businesses to be working together so that we can generate more value. Where we see departures from those criteria, we look at whether or not we might be able to create more value for our shareholders and our customers and our employees by separating. And we've been doing this now, rather routinely, for a number of years. We have divested elements of our Electronic Systems portfolio over the last few years, and I think very effectively executed on those. We've divested components of our Information Systems business most notably the TASC business, and then of course the most recent substantial activity with the spin out of our Shipbuilding business. I think those are reflective of the way we think about portfolio management from -- is it generating synergy and where is it going. So I wouldn't want to call out any specific actions we might take, but I would want to emphasize the fact that we do think that active portfolio management is a key part of value creation opportunity that we see going forward, particularly in the environment where things are going to continue to shift.
James Palmer: Wes, I just might add that those actions, Shipbuilding, TASC, Electronics activity, that's $8.5 billion of revenue over the last 2 years, 2 plus years that have been addressed.
Wesley Bush: Yes, so that's pretty active.
James Palmer: Yes.
Operator: Our next question will come from the line of Joe Nadol of JP Morgan.
Joseph Nadol - JP Morgan Chase & Co: My question, I hate to come back to the topic, but I'm going to ask it a little differently. And that's on the share repurchase again. And I'm really trying to get at is what you're committing to in terms of total share repurchase, because as a matter of course, you guys have made over $1 billion per year, each for the last several, anyway. You're committing this $1.4 billion, but is that in addition to the share repurchase activity we could normally expect, say as a percentage of your cash flow. Or is that sort of funding the normal share repurchase? And the second part of it, Wes, and or Jim, as you thought about the share repurchase and what you're going to do with this dividend from Huntington, did you consider a special dividend? And if so, what were the various factors that you went back and forth with? Why did you come up with share repurchase as opposed to a dividend?
James Palmer: So Joe, let me try to clarify here. The $1.4 billion, obviously, is the contribution that we received from the Shipbuilding. And what we tried to say is that, in thinking about our total authorization, we added that amount to what we had currently and some additional amount to get to the $4 billion authorization that obviously the board approved. That does not mean that we're going to spend $1.4 billion in the quarter or in the year. Frankly, some of the analysts, I think, have gotten a little bit ahead of us on what we were going to do for this year, because as I said in the year end call, we said modest reduction, contemplating the pause that we had put in place for our share repurchases. My comment to this is [indiscernible] that, Rob, on the share repurchases for this year that the guidance anticipates about a 3.5% reduction in the average shares outstanding for the year. So you can essentially do the math of recognizing that we had very little share reduction in the first quarter. We're only going to be able to start share repurchases here sometime in May. And so to get that kind of 3.5% reduction over the year, with the increase that we've already had in shares outstanding with the new grants in February, we're going to spend a reasonable amount of cash this year on share repurchases. Could we do more? Potentially. But let's take this in steps as we go through the year.
Operator: Our next question will come from the line of Cai Von Rumohr of Cowen and Company.
Cai Von Rumohr - Cowen and Company, LLC: Not to beat the dead horse, but this authorization is $4 billion, the last couple have been for $2 billion to $2.5 billion. And if you kind of look, as you did suggest that we should look at what you've been doing. You essentially completed your full authorization in the past. It looks like in approximately 18 to 24 months, and so you've given us some of the tactics here on why the first quarter and second quarter will have that impact. But would it be realistic for us to expect you, as you have in the past, to get up to a run rate therefore of $2 billion or more?
Wesley Bush: Yes, Cai, I think -- this is Wes, let me just give you my perspective. We don't want to be very explicit about the timing or quantity of a share repurchase program. We want the flexibility to do it intelligently. And I think there is a very strong signal here that we didn't just say, "All right, here's the $1.4 billion from Shipbuilding. Let's go and just have that be our authorization and go work on it." As Jim indicated, we added it to, didn't replaced it with, we added it to an outstanding repurchase authorization that we had, and then we add a little bit more. So there's an important signal about the way we're thinking about creating value through cash deployment in the company. But as we have been, I think we have a really good track record of how we've done share repurchase. We are thoughtful about each of the steps we enter into. We're thoughtful about the mechanism that we use and the pace and we're going to continue to use that methodology going forward. So we're probably not going to say much more here at all about the pace going forward. But again, I think there's a lot to be learned by looking at what we've done in the past. It continues to shape the way we think about going forward.
Operator: Our next question will come from the line of Robert Stallard of Royal Bank of Canada.
Robert Stallard - RBC Capital Markets, LLC: Just a couple of questions at Jim, actually, on the financial side. Jim, I was wondering if you could give us an idea of where you think inventory and CapEx is going to trend from here, obviously, now that Huntington is gone? And whether there's an opportunity to bring those down and also the progress you've made so far and expect going forward on bringing down the head office expense?
James Palmer: Yes, in terms of CapEx, I would look for about $600 million to $700 million kind of for this year. If we have a slowdown in revenue, clearly, it will come down as we go forward, but kind of the $600 million to $700 million is I think a reasonable range for us. It's about equal to depreciation and amortization. So in a kind of flattish environment, I look for that kind of relationship between our investment in the business and amortization of cost. In terms of progress on home office cost, we still have the challenges that I've talked about in the past, that we're going to have some stranded cost or cost inefficiencies, that come from loss of the $6.7 billion in our base from Shipbuilding. We are working on addressing that. As I said in the past, it probably going to take us anywhere from a year or so, maybe 2 years, to be able to fully address those costs, so that doesn't have an impact on the organization on a go-forward basis. We're in the front end of working on that. Clearly, the move to DC is an opportunity to deal partially with those costs. But I think that's essentially where we are at this point, Rob.
Robert Stallard - RBC Capital Markets, LLC: I'm kind of just wondering on inventories as well.
James Palmer: On inventories, I don't see a whole lot of change. Clearly, I'm pushing, we're pushing the organization to reduce them. But I think we're fairly efficient today in our working capital. It's always the big variance in our cash flow forecast for the year. We've normally can look at our EBITDA and cash taxes and cash interest and have a good sense of where they're going to come out, and the variable that goes into our cash guidance for the year is essentially the working capital variance. As you know, in years past, we've been able to reduce working capital at the same time while growing sales, which is obviously a difficult challenge, but have been able to do that. We're not as efficient last year in working capital, so I think we have some opportunities going into this year, and reflected in our range of guidance for cash. And I made it in broader that inventory, it's essentially working capital.
Operator: Our next question will come from the line of Sam Pearlstein of Wells Fargo.
Samuel Pearlstein - Wells Fargo Securities, LLC: Two questions, if I could. One, is Electronic Systems, you made a comment about international contract award delays. And I'm wondering is that a decision by the customer? Or is that they have made the decision and they've actually haven't giving you the contract? Can you talk a little bit more about that. And then just secondly, on the F-35, I'm surprised we still haven't seen the LRIP 4, and I'm just wondering why is it taking so long? And when we get to LRIP 5, will there be as big of a gap between when Lockheed gets the contract versus you?
Wesley Bush: Yes, Sam, let me take both of those, it's Wes. On the Electronic Systems, our reference there was not to an individual issue, it was a little bit more broadly. That some of the international budget environments have actually held up some of the contract awards that we've been working on for some time. We see delays there. Although, I would say in some countries there's some downward pressures that are some are even more severe than what we're seeing here, but it's primarily delays that we've been observing. On F-35, on LRIP 4, as you're probably aware, and I'm sure been interacting with our prime Lockheed Martin on this, there is a very, very strong focus on the part of the customer on affordability and how we get the program on a trajectory that is going to make sense, both to the U.S. and for our partner countries, that has resulted in a process on LRIP 4 of kind of standing back and making sure that we're all collectively doing the things we need to do to support getting to the right outcomes there. And it has delayed the contracting discussions, as we have focused both on contract type and of course the actual valuations. So that's taking a little bit longer. I think the groundwork we're doing on LRIP 4 is going to help pave the way for future LRIP discussions. But there is a lot of work to be done on this program to get it to where it needs to be from an affordability perspective. And I think, you're seeing a reflection of that in this timing.
Operator: Our next question will come from the line of David Strauss of UBS.
David Strauss - UBS Investment Bank: Wes, could you address Global Hawk, the outlook there? Obviously, we had another Nunn-McCurdy, how it did in the fiscal '11 budget? And then, how it looks in the fiscal '12 budget? And what you're doing from your side to contain costs on the program?
Wesley Bush: Sure. Global Hawk is a program that we're really, really proud of. We never like to see anything like a Nunn-McCurdy breach occur. That's not a happy place to be. But I do think there was a lot of clarity in the discussion that the department provided to the Hill. Clarity that the primary reason for the Nunn-McCurdy breach was the reduction of the Block 40 quantities from, I believe, 22 down to 11 aircraft due to the budget pressures and the other pressures that the Air Force is dealing with. There were some other issues identified, like the managing manufacturing source issues on the ground segment. Getting some of the depots stood up because we're operating this thing all over the globe in a much more aggressive manner than was ever anticipated, when the original plan was created for this program and that's the original plan against which the Nunn-McCurdys are measured. If you look at what we're doing with this, we're flying Global Hawks with around-the-clock operations today in the Persian Gulf, in Japan, in North Africa. They are, to some extent, the victims of their own success in terms of being so successful from a mission perspective, that we're sort of scrambling to keep up with them from a budget perspective. Turning the clock back about a year ago, the department, the Air Force was very clear that they were not happy with the trajectory on affordability on Global Hawk. We made commitments and have worked very closely both with the Air Force acquisition teams. Dave Van Buren's been very involved in this as has Ash Carter. We've come a long way on affordability, and I'm very pleased to see the trajectory that we're on there. And I think the department is also pleased to see where we're headed. I think this is a program with very long legs. It's demonstrating such an enormous diversity of capability, whether it's on the surveillance side with the different mission sensors that were flying, and even more recently on the communication side with the BACN payloads that we're putting on the Global Hawk. So we're looking forward to continuing to deliver a whole range of capability, different versions of this very exceptional system to the Air Force. And as I mentioned in my remarks, the maritime version, BAMS, is proceeding well. So we're looking forward to some long legs on this platform with the Navy as well.
David Strauss - UBS Investment Bank: Jim, a question for you. Could you address corporate and on pension? I think on pension [indiscernible] you said $355 million now. I thought that number was $325 million, but I might be wrong. And then on corporate, it was obviously low, but based on your outlook for all-in margins, it looks like that's going to obviously pick up here with the move of headquarters and stuff. And if you could address that and stranded cost and all of that.
James Palmer: Yes. In terms of corporate, I essentially see us ending the year a little bit greater than we ended last year, frankly. Clearly, this year has a bunch of move-related costs that we're going to incur probably more in the third and fourth quarters. And so, you're going to see some lumpiness in this as we go through the year. Some of those costs are going to hit in the third and fourth quarter when moves actually occur. We are planning the move from Century City in August. Some of the people, some of the costs, obviously, is people-related cost, when they move, when they sell their homes. And so those are going to probably be in the third quarter and fourth as well, potentially some in the second quarter. And we're not necessarily always going to have the change in recoverability of state income taxes that occurred in this first quarter. So lumpiness, but I think on a global basis for the year, as I've said, a little bit greater than where we ended last year's in terms of total corporate. Stranded cost, essentially most of those stranded cost get a -- some of them end up at corporate. A big part of them end up as additional cost being pushed to the operating sectors included in their margin rates. So essentially, we're trying to address that, that way. And I forgot what was the other part of your question? Oh, pension. $355 million was our -- has been our guidance for the year, not $325 million. The run rate for the first quarter was a little bit higher than that. On a cash basis, we true up our cash cost late in the year, probably in the third quarter or so when we complete our census data for the beginning of the year. You might imagine this is a lengthy process to look at all of the employee populations and all the census. And so we have original, our initial estimate that's based on census data that's older. And then, we update it to the actual census data, and that takes us into the third quarter normally before we get that finished.
Operator: Our final question will come from the line of Jason Gursky of Citi.
Jason Gursky - Citigroup Inc: Let me start with just a really big picture question on margins, and where you see opportunities and risks to margin rates over the next couple of years, given what you see in your backlog? And then, a little bit more of a specific question on unmanned. You talked a little bit about the Global Hawk or a lot about Global Hawk. Can you talk a little bit about other opportunities that you might see in the future, given the capabilities that you now have built there on unmanned platforms?
Wesley Bush: All right, Jason, this is Wes. Just your first question on where we see both opportunities, and perhaps risks in the operating margin part of our business. This has been an area of substantial focus for us. If you turn the clock back just a couple of years ago, our operating margin rates were below those of our industry peers. If you look at it sort of segment by segment, there were a lot of reasons for that. Some of it was the contracts we had taken on, some of it was program performance. So we've been working this very, very aggressively. We demonstrated, I think, some really good improvements over the last couple of years and have achieved margin rates most recently that are, I think, margin rates we can be very proud of. Does that mean we're stopping, that we're not going to continue to push? No, we want to continue to improve. There are some natural limitations associated with the nature of contracts we can enter into with our customers. But we are being very thoughtful about which contracts, we have structured our incentive system, to ensure that we are aligning the team on -- making sure we're taking on good contracts, contracts that we can execute for our customers. So this is as much about performing for our customers as it is our shareholders. We want to make sure we can perform because when we perform, we generally do well on profitably. And we're going to continue to put upward focus on that. The numbers that we've specified for this year, I think, are good indicators of where we believe sustainable outcomes are. We're of course going to be working hard to do better than that. But that's where we see the sustainable outcome levels. With respect to unmanned, unmanned is an area that's just continuing to blossom in terms of the applications. The early focus had been primarily on fixed-wing and surveillance. That is what we're seeing today with Global Hawk. Obviously, that transitioned for some platforms, not Global Hawk but it transitioned to some platforms for weapons delivery. We're obviously the surveillance part of this mission is going to continue to grow. We have taken a broad view to the application of the technology we developed, primarily this concept of a very open architecture that we're able to transport between different platforms. We've demonstrated this now with a number of platforms, including rotary-wing. We've had the Fire Scout program, and now we're working with the Bell helicopter, the Firebird program. We've taken it over to UCAS, which is truly a transformational opportunity to put a large, unmanned vehicle in a mode of landing on an aircraft carrier, and we succeeded in our first flight on that earlier this year, and that they had several subsequent successful flights. So we see, basically, anything that's been manned in the past has opportunities for unmanned. And unmanned further extends the opportunity space because some of the constraints associated with putting human beings in the aircraft that have limited the mission applications are gone. So we do see a full emerging set of new areas for this class of technology, and we're determined to be leaders in this to continue to stay out in front, and we're investing accordingly. So I hope that provides a framework for your question.
Jason Gursky - Citigroup Inc: Yes, it does. And just lastly if you could just touch on some of the risks, potential risks to the margins.
Wesley Bush: At the risk with the marketplace, to many -- to a very large extent. Obviously, we're going to be very attentive to that, as we move into this. Production rates, could always have some implications in that regard. And just the general market environment in some of our shorter cycle businesses could also focus in that area. In the past, if you'd ask that question I would've had a long list of specific program issues to go through with you. And I think we've made a lot of progress there. We're not perfect. No company ever is. And there are many programs we continue to work hard on. But I think we've made a lot of progress in managing the individual program risks. We have a methodology inside our company for looking at both the risks and opportunities on a program-by-program basis and managing them in accordance with that methodology. I think that has helped us a lot.
Paul Gregory: So, thanks, Jason. And I think with that, we'll conclude the Q&A. And Wes, do you want to make some closing remarks?
Wesley Bush: Yes, I will just wrap up quickly. Just to reiterate a little bit of what I said in my earlier comments, it was a really good start to the year for us, and we're very pleased with our financial results, particularly the continued solid operating performance in our sectors. This is going to continue to be quite a dynamic environment both from a customer side and from an industry side with plenty of challenges. But as we navigate through those challenges, I just want to reinforce, we are absolutely committed to value creation for our shareholders, our customers and our employees. We believe we have a portfolio that is well-positioned to support those value creation objectives. And given that capability, our focus is going to continue to be on performance, on optimizing that portfolio and making sure we are effectively deploying our strong cash generation. So thanks for listening in and participating with us on our call today, and thank you for your continued interest in Northrop Grumman.
Operator: Thank you, sir, and thank you for your participation in today's conference. You may now disconnect. Have a great day.